Executives: John A. Maurer - Vice President of Investor Relations and Treasurer Lauren B. Peters - Chief Financial Officer and Executive Vice President Richard A. Johnson - Chief Operating Officer and Executive Vice President Kenneth C. Hicks - Chairman, Chief Executive Officer, President and Chairman of Executive Committee
Analysts: Paul Trussell - Deutsche Bank AG, Research Division Seth Sigman - Crédit Suisse AG, Research Division Corinna Van der Ghinst Robert F. Ohmes - BofA Merrill Lynch, Research Division Camilo R. Lyon - Canaccord Genuity, Research Division Omar Saad - ISI Group Inc., Research Division Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division Sam Poser - Sterne Agee & Leach Inc., Research Division Bernard Sosnick - Gilford Securities Inc., Research Division Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division Eric B. Tracy - Janney Montgomery Scott LLC, Research Division Michael Binetti - UBS Investment Bank, Research Division Matthew McClintock - Barclays Capital, Research Division John Zolidis - The Buckingham Research Group Incorporated Taposh Bari - Goldman Sachs Group Inc., Research Division
Operator: Good morning, ladies and gentlemen, and welcome to Foot Locker's Third Quarter 2013 Financial Results Conference Call. [Operator Instructions] This conference call may contain forward-looking statements that reflect management's current views of future events and financial performance. These forward-looking statements are based on many assumptions and factors, including the effects of currency fluctuations, customer preferences, economic and market conditions worldwide and other risks and uncertainties described in the company's press release and SEC filings. We refer you to the Foot Locker, Inc.'s most recently filed Form 10-K or Form 10-Q for a complete description of these factors. Any changes in such assumptions or factors could produce significantly different results, and actual results may differ materially from those contained in the forward-looking statements. If you have not received today's release, it is available on the Internet at www.prnewswire.com or www.footlocker-inc.com. Please note that this conference is being recorded. I will now turn the call over to John Maurer, Vice President, Treasurer and Investor Relations. Mr. Maurer, you may begin.
John A. Maurer: Good morning. I'd like to thank everyone for joining us today for Foot Locker, Inc.'s Third Quarter 2013 Earnings Release Conference Call. This morning, we reported earnings per share of $0.70 in the third quarter on a GAAP basis, driven by a comparable sales gain of 4.1%. For the first 9 months of the year, Foot Locker has achieved a comparable sales gain of 3.7% with flat gross margin, leading to an earnings per share total of $2.04, an increase of 7% over the same period in 2012. Year-to-date net income was $308 million, up from last year's record net income performance of $293 million. As noted both in today's release and during our call 3 months ago, we realized a onetime foreign tax benefit that added approximately $0.02 a share to this quarter's earnings. Adjusting for that tax benefit, as well as Runners Point Group integration expenses in the third quarter of approximately $1 million after tax, we generated non-GAAP earnings per share of $0.68, an 8% increase over last year's non-GAAP earnings in Q3 of $0.63 per share. Third quarter results brings our year-to-date non-GAAP earnings to $310 million, or $2.05 per share, compared to $283 million or $1.83 last year, a 12% increase. In this morning's press release, we have included a GAAP to non-GAAP reconciliation reflecting the tax in RPG adjustments. This morning, we'll begin our prepared remarks with Lauren Peters, Executive Vice President and Chief Financial Officer, who will recap our third quarter and year-to-date financial results; Dick Johnson, Executive Vice President and Chief Operating Officer, will provide insight into the major product themes that drove our business in the quarter; and we'll conclude the prepared portion of our call with Ken Hicks, Foot Locker's Chairman and Chief Executive Officer, who will provide an update on the execution of our key strategies and progress towards our long-term goals. We will allow time for questions following your prepared -- our prepared remarks. [Operator Instructions] After the financial recap, let me turn the call over to Lauren.
Lauren B. Peters: Thank you, John, and good morning, everyone. I appreciate that you are joining us this morning. As John mentioned, we generated a 4.1% comparable sales gain in the third quarter, in line with our previous guidance, and with a solid result, especially coming as it did on top of last year's strong 10.2% comp gain. Many of the sales trends we have discussed with you earlier in the year remains intact in the third quarter. For example, our Direct-to-Customer business continues to be the fastest-growing segment, with a comp gain of 13.7%. Within the Direct-to-Customer segment, our store banner.com business was up 40% again this quarter. Eastbay was up mid-single digits, and CCS' sales were down in the quarter. Within the store segment, our kids business was also very strong again across all our banners that sell children's product. Kids Foot Locker itself was up high-single digits. Elsewhere in the U.S., the domestic division that rebounded the most in Q3 was Foot Locker, which was up strong mid-single digits after being down last quarter. Footaction's comp was flat for the quarter, an improvement from its second quarter performance. Lady Foot Locker had a mid-single-digit comp decline, while Champs Sports, which was again actively remodeling stores during the quarter, comps down slightly. Outside the U.S., Foot Locker Europe continued to post solid gains in the mid-single-digit range, with 15 of the 19 countries we operate in comping positive. While Germany was one of the strongest performers, Spain and Italy were 2 of the exceptions. The Runners Point Group posted a solid mid-single-digit comp gain, led by their online business and the Sidestep banner. Please note, however, that RPG sales are not yet part of our comparable store sales base. With 20 more Foot Locker stores open in Europe now compared to a year ago and with the inclusion a full quarter of RPG sales, approximately $72 million, our total sales in Europe increased more than 25% in Q3. Rounding out our international businesses, Foot Locker Asia Pacific was up mid-single digits, while Foot Locker Canada was down low-single digit. For the third quarter, sales gains were driven by average selling prices, which were up low- to mid-single digits depending on category. Footwear units were also up, although units were down on apparel and accessories as we continue our transition to premium assortments, away from more basic product. For the quarter as a whole, traffic was down slightly, although the trends did turn positive in October, which we believe bodes well for the holiday season. Turning to our families of business. Another trend that continued in the third quarter was that our sales were led by footwear, with a mid-single digit comp gain. Apparel and accessories were down low-single digits. Within footwear, kids increased the most, up double digit, while men's footwear was up mid-single digits. Women's footwear, on the other hand, declined at a high-single-digit pace. Men's footwear was led by basketball, which was up double digits. Running was up mid-single digits as well, led by strength internationally and in our direct business. Our casual category was down overall, although as Dick will mention shortly, there were important elements of success within that category, too. As previewed on last quarter's call, August comps were up mid-single digits. September was up slightly, and October's comp was a very encouraging high-single-digit gain. In fact, all of our divisions, except CCS, comped positive in October. As you know, all the big volume weeks in the fourth quarter are still ahead of us. However, our comp gain for the first 2 weeks of November continued at a mid-single-digit pace. After that, our results are not really comparable since this week last year was Thanksgiving week, and we were well along into our very successful Week of Greatness. This year's version of the Week of Greatness officially starts tomorrow, although we actually have some great product releases from Nike and Reebok starting today. Moving on to gross margin. Our rate was flat in the third quarter at 33.1%. Again, many of the same dynamics were at work in the third quarter that we have mentioned in previous calls. First, we did leverage our fixed occupancy and buying costs by 10 basis points. Recall that we had a significant sale shift, where it's about $36 million out of Q3 into Q2 due to last year's 53rd week, so we were pleased that we were able to produce this leverage. Second, similar to our experience in Q2, our initial markup rate declined 30 basis points quarter-over-quarter. We did manage to lower our mark-down rate, almost enough to offset this IMU pressure. In the end, merchandise margin dropped 10 basis points, leaving the overall gross margin rate flat. Turning to SG&A. Our rate edged up 10 basis points to 21% from 20.9% in last year's third quarter. We mentioned in last quarter's call that it would be difficult to achieve leverage in Q3 due to the sales shift. However, excluding RPG, our base business did achieve leverage of about 40 basis points despite the shift. On a full year basis, our SG&A rate has improved 30 basis points, inclusive of RPG. Depreciation expense was $35 million in the quarter, $5 million higher than last year. Depreciation for the base business was expected to, and did, increase by about $3 million due to remodeling and other investments we are making in our store fleet, as well as in various digital and technology initiatives. The incremental $2 million in depreciation was related to the assets we have acquired with the Runners Point business. Our tax rate came in at 35% in the quarter, up from 31.7% last year. As John noted, this quarter, we recorded a $0.02 a share benefit related to lowering our foreign tax provision. This compares to last year's third quarter, when we recorded a $0.06 a share benefit. Without these onetime benefits, our tax rate would have approximated to 37% run rate that we plan for our business. Our pretax income of $160 million in the third quarter was $5 million higher than last year, although net income was actually slightly below last year due to the larger tax benefit a year ago. Nonetheless, EPS this quarter was up to a record $0.70, as a result of the $167 million we have spent to buy back 4.8 million shares since the beginning of the year, including $67 million that we spent in the third quarter. Our non-GAAP earnings of $0.68 was also a record. As I mentioned, we continue to execute our various capital expenditure initiatives, including remodels, new stores and upgrades to our online, mobile and systems capabilities. Year-to-date, we have spent $157 million in capital. We currently expect capital expenditures this year to end up around $210 million, slightly below the $220 million target we set at the beginning of the year. The difference relates mainly to cost efficiencies that we have taken advantage of as we ramp up our remodel program. We have maintained the pace of investment in our growth initiatives. Inventory increased just over 6% in the quarter to $1.3 billion, about even with our overall sales gain of 6.4%. However, excluding Runners Point Group inventory and using constant currencies, our inventory was up just 1.2%, compared to our 4.1% comp gain. We believe that our inventory position going into the holiday season is in good shape to facilitate full-price selling, similar to what we executed in the third quarter. We believe we're on track in Q4 to deliver on our full year guidance of a mid-single-digit comparable sales gain and a double-digit percentage EPS increase. That guidance was based on a non-GAAP 52-week EPS result of $2.47 in 2012. Now to tell you about the product highlights in the third quarter, here's Dick.
Richard A. Johnson: Thanks, Lauren. Since you already provided high-level statistics about our third quarter sales results, let me dive deeper into what was working and what was not. Basketball footwear was up double digits, and the single biggest driver was brand Jordan. When you have as many different banners and geographies as we do, there can be some exceptions to such statements. But one thing was consistent for all of our male banners across of the globe, Jordan product was a very big hit with our customers. Whether it was Jordan performance product, the very strong retro releases or the Jordan footwear classics, the brand delivered powerful growth. And it wasn't just in footwear. Jordan apparel, such as tees, shorts and fleece that hook to the shoes, performed very well, as did accessories, such as socks. The U.S., Europe, Canada and Asia Pacific all had big gains in Jordan. Foot Locker and Champs Sports also had strong basketball gains in Nike performance and marquee player shoes from Lebron, KD and Kobe. From Adidas, D. Rose is making a good comeback, both on the court and with the signature shoes in our stores, and I don't think he has nearly reached his peak in either area. Running footwear was also up, although in running there has been a bit of a shift in the preferences of our consumers. Nike Free sales are still increasing, while growth has slowed in some of the technical brands, such as ASICS and Mizuno. Sales of these brands are still on the rise, and we're optimistic about the Kayano 20 from ASICS and the Prophecy 3.0 from Mizuno. At the same time, innovative new products, such as BOOST and SpringBlade from Adidas and Flyknit and Roshe Run from Nike, have definitely been a big hit with our customers. We continue to see strength in sales of these fresh new products. Our casual footwear sales were down overall. We continue to see a slowdown in Converse and seasonal products, such as sandals and slides. We did experience increased sales of vulcanized product from Vans and Nike SB, as our customers continue to shift into these newer lifestyle programs. Ironically, some of the so-called newer programs are actually reintroductions of classic styles. For example, in addition to Vans, we've seen good life in New Balance, especially in 574s and in Timberland. The early strength of the Timberland business is making us more optimistic about boots during the upcoming season. As Lauren called out, apparel and accessories were down a bit. Jordan brand apparel was up, and we still sell a lot of branded tees and shorts. The uniform of the kid hasn't changed dramatically, but the looks and style are shifting a bit. We're working to adjust to these changes. We're continuing to offer premium differentiated athletic product in our stores and online, and we feel we are positioning our apparel assortments well, telling different stories for each banner going forward. We are also seeing a nice apparel lift in most of our remodeled stores, which we believe also bodes well for the future as we roll out more of the new formats going into the holidays and next year. On the Accessories front, premium socks continue to do well. I mentioned Jordan already, along with Nike Elite and other performance socks. Our kid is finding new ways to differentiate himself, whether that's with knit hats, which are a big trend right now, or with a premium backpack that often hooks to the key color waves of our footwear and apparel. In terms of apparel sales penetration, although we've gone slightly backwards recently, we still believe in the long-term opportunity to build apparel and accessories back up to around the 30% level it was a decade ago. And the margins can improve even further, as we elevate our apparel assortments to tell the targeted premium stories our customers expect from each of our banners. Before I turn it over to Ken, let me update you a bit on the women's business. As we said, Lady Foot Locker comped down at a mid-single-digit pace in the quarter. Unfortunately, we didn't really pick up that business in our other banners, where the women's business overall was also down. That said, our women's business did increase internationally and online, so we know the potential is there. Moreover, we continue to get good results from our SIX:02 and parks format Lady Foot Locker stores. The parks format is what we previously called our reskinned Lady Foot Locker doors. We have 6 SIX:02 doors currently operating with 1 more opening next week. We also have 19 parks format stores. Both types of stores are comping up, which is good news, but we're continuing to make adjustments to both formats as we need to optimize their performance before we decide on our rollout strategy. For example, the newer SIX:02 stores are a bit smaller than the original stores, and we have rearranged the apparel collections to display the product by category instead of by brand to better align with the way she shops. We plan to continue building the SIX:02 brand, developing the associate culture and reaching out to the local communities where we have stores. We believe that over time, we'll be helped significantly by the recent launch of the SIX:02 website, which should enable a much wider audience of women to connect with the brand. Our focus remains on an athletically active young woman. She works out, perhaps by running, taking a spin class, yoga, dance or CrossFit training. She wants to look good while she does her activity. She needs the right fit, and she expects here to have the latest performance attributes to help her reach her fitness goals. We are doing quite well with that product, while transitioning away from the lifestyle or pure fashion product that we typically sold at Lady Foot Locker. Meanwhile, we are working to improve the performance of the rest of the Lady Foot Locker chain. We are testing additional merchandise changes in our top doors, which are working well so far. We'll continue to close or improve underperforming stores as we position ourselves for a decision point on our rollout plan for SIX:02 or Lady Foot Locker, or potentially both. With that summary, I'll turn the program over to Ken.
Kenneth C. Hicks: Thanks, Dick. And I'd like to welcome you all to the call. Thank you for joining us. I want to first thank everyone at Foot Locker team for the results we announced today because it certainly took a team effort to produce the very solid quarter we did in the challenging retail environment we're facing. I was particularly pleased that we produced our 15th consecutive quarter of sales and EPS growth, both on a GAAP and a non-GAAP basis. With the record non-GAAP performance we achieved last third quarter and the $0.06 tax benefit we recorded on a GAAP basis, it was a big challenge to improve over last year. But we pulled together as a team, drove improved sales momentum in most divisions, worked hard to flow the exciting new product from our vendors to our stores or directly to our customers, kept our margins steady, told strong marketing stories, invested in our associates in order to enhance our in-store effectiveness, began integrating a significant acquisition and utilized our strong financial position to buy back shares of our stock, all of which, together, contributed to achieving another quarter of sales and EPS gains. It was an impressive team effort. I think Lauren and Dick covered most of the important details of our third quarter results, so I'll just touch on a few points before getting to your questions. First, Runners Point. The integration is going well. We've already started testing some banner repositioning that we think makes sense. We're not going to jump into any major changes yet since Foot Locker Europe and Runners Point Group both make money. There's no need to do anything quickly without testing it first. Runners Point Group did not make enough money in the third quarter to significantly impact our overall business. But the fact remains that it did make money, which is a good result for any acquisition in its first full quarter of operation. Second, we've opened 77 stores, relocated 64 and remodeled 207 stores so far in 2013. We continue to get good list from the remodel projects we undertook this year. In most cases, the stores are outperforming the productivity standards we established for them. We've completed about 10% of the Foot Locker fleet in the U.S., between 10% and 15% of the Champs fleet and most of the Kids Foot Locker stores. The vast majority of this year's projects are done now, and we set up for the big holiday selling season. We'll read the results over the fourth quarter before recommending to our board the specific levels of capital expenditures we want to devote to remodeling projects in 2014. But from what I can see so far, I would expect the pace to be similar to this year. We also continue to roll out various shop-in-shop initiatives. We ended the third quarter with 112 House of Hoops locations: 103 in the U.S., 7 in Europe and 2 in Canada. We also now have 5 Nike Yardlines in Champs Sports and 5 Adi collective stores in Footaction. And just this week, we opened our first Nike Fly Zone in a Kids Foot Locker in New Jersey. Finally, let me emphasize a point Lauren made earlier, which is that our Direct-to-Customer results continue to be very strong. We aren't yet to the point where store banner.com sales are 10% of our banner's total sales, but another quarter of 40% growth means we're definitely getting closer. We're also now getting even faster growth in our Footlocker.com business in Europe. We're making the necessary investments to produce the best customer experience across the digital space, both online and mobile. Our customers want to interact with our brands everywhere: mobile, online and in stores. And they expect nothing less than complete integration from us. We're also leveraging the powerful Eastbay brand, driving sales gains both digitally and through our team sales efforts. We're developing new and innovative ways to take advantage of our brand assets as we position our Direct-to-Customer business to continue leading our sales growth in the future. To sum up, we're excited about our opportunity to close out the year with another solid quarter. Lauren mentioned this mid-single-digit gain we're running through the first couple of weeks, which is a good way to start any month. But I want to echo our caution that the heavy lifting is still ahead of us. That said, we're poised to jump-start the Week of Greatness today with the great product releases from Nike and Reebok. And tomorrow, we continue with exciting launches by Jordan and Adidas, and it pretty much goes on all next week. In fact, I know we're calling it the Week of Greatness, but with the significantly shorter selling period between Thanksgiving and Christmas this year, I think we're set to keep up a good, steady pace all through December. In the current retail environment, though, we define a good month as a comp gain in the low-mid-single digits, and that's still how we're planning the quarter. Finally, our record performance this past quarter and so far this year supports our team's confidence that the ongoing careful execution of our current strategic initiatives, combined with our vision and our core values, will enable us to continue lifting our results towards the long-term financial and operational goals we set at the beginning of last year. Thank you. And now I'll turn it over to the operator so we can get to your questions. [Operator Instructions] Thank you.
Operator: [Operator Instructions] Our first question comes from Paul Trussell from Deutsche Bank.
Paul Trussell - Deutsche Bank AG, Research Division: Also, Dick, you are hitting it on the nose, and that Derrick Rose has not come close to showing what he's capable of doing on the court. But turning to the business, could you just speak a little bit more about the adjustments that you are making on apparel? And you keep speaking about elevating the assortment, both from an apparel and footwear standpoint, to premium products. Are you leaving dollars on the table by perhaps not having more opening price point items?
Kenneth C. Hicks: The adjustments we're talking about are as we continue to grow our branded apparel business, we have significantly reduced our position in some of those opening price points. That said, we still have tees at 4 for $25. We have thermals. We have opening price hoodies. So I don't think we're giving up that business, we're just reducing it. We continue to work with our vendors to develop stronger assortments with -- in each of the brands. Our new formats that we're putting in place help us call out apparel more. And one of the things we see is stronger apparel selling as a result of that in those remodeled stores, which is one of the reasons we want to move on that. Also, the new initiatives, such as House of Hoops, Yardline, the Adi collective, also allow us to have a stronger apparel position. Dick, I don't know if you want to...
Richard A. Johnson: No, I think that sums it up. And on the footwear side, we talked about the Roshe Run, I mean, which is a great entry-level price point that the kids are very excited about. So I think the combination of a stronger brand in apparel business, the right entry level price point apparel pieces and great footwear across the price spectrum is really what's building our assortment the way it is.
Paul Trussell - Deutsche Bank AG, Research Division: And just my follow-up will be on the Champs banner. You've done, I don't know, 10% to 15% remodel, 10% to 15% of that banner, yet sales were still down slightly. Can you just speak to the weakness? And then also, what is the relative gap of outperformance of the Champs that have been remodeled?
Richard A. Johnson: One of the challenges with the Champs remodels, as we've talked about, is that there's some closures involved with that. So as we ramped up the construction or the remodel program in Q3, there were weeks of closures based in those remodeled doors. And we haven't talked publicly about the lift that we're getting, but it's meeting all of our financial thresholds that we set in our process. So we're very optimistic about the Champs remodels and it's just a matter of getting enough of them open and not having them -- having others closed during the remodel process that we're looking forward to.
Operator: Our next question comes from Seth Sigman from Crédit Suisse.
Seth Sigman - Crédit Suisse AG, Research Division: A couple of questions about the women's business. I guess, first, the Lady Foot Locker comps look like they were down mid-single digit in Q3. But overall, footwear for women, I think it was down high-single digits. So any color there would be helpful on what's driving that delta. And then, I guess, second, any more color on how the reskinned Lady Foot Locker stores are doing and SIX:02 is doing versus the overall lady's base at this point.
Kenneth C. Hicks: I'll do the footwear and then let Dick talk about the reskins and SIX:02. One of the challenges we've got with the women's footwear is we are making a much stronger positioning in the performance footwear and significantly downplaying the fashion. As we make that shift, it takes longer for the customer to find you with what you have new. But they can't buy what you don't have. So we're going through that transition now. We have said and know that transition will take some time. What we are seeing, our performance business is actually performing very well, it's just not offsetting the decline that we have as we pull away from the fashion business.
Richard A. Johnson: I think if we look at the SIX:02 and the parks format stores, as we get the merchandise assortment right, we feel very comfortable. And as I said in my prepared remarks, those stores are performing well. We've got 6 SIX:02s opened. I was off by about a week, I think, on the opening date. The seventh one opens actually in early December rather than next week. But we're very comfortable with where they're performing. And the additional tests that we've got going on is the merchandise tests across some of our better stores, where we're distorting the performance in active apparel, and as Ken said, moving away from some of those fashion silhouettes. So the initial results that we're seeing are positive. And we were looking to make a decision sometime next year as we watch the performance as we develop our rollout plan and our strategy to roll out either SIX:02 or Lady Foot Locker.
Operator: Our next question comes from Kate McShane from Citi.
Corinna Van der Ghinst: This is Corinna Van der Ghinst for Kate. Can you please remind us where the European margins are now versus the U.S., how much opportunity you still see to take those up and how you plan to drive the margin expansion there?
Lauren B. Peters: We don't disclose the margins of the international business versus domestic. But historically, when we talk about merchandise margins, less promotional in our international business as opposed to the U.S. Certainly, our growth there, store count expansion, helps with that.
Corinna Van der Ghinst: Okay. And I just wanted to clarify, Lauren, that you now expect full year comps up mid-single digits, not low end of mid-single digits as you had last guided?
John A. Maurer: Ken said full year guidance is low-mid-single digit.
Kenneth C. Hicks: Which, by the way, is mid-single digits. It's just we're in mid-single digits, we are.
Operator: Our next question comes from Robbie Ohmes from Bank of America.
Robert F. Ohmes - BofA Merrill Lynch, Research Division: Hey, Ken, I was hoping you could talk a little more about the initial markup rate outlook and sort of remind us when that could be anniversary-ed or what could cause it to go lower or higher from here. And then just a separate follow-up would just be a question on how you're thinking about maintaining the momentum in kids? Will that become more challenging against tough comparisons? And then as you look at holiday, there's a lot of noise out there about video game consoles. And I'm just curious if you guys had a comment on those and what that impact is on your core sort of teenage customer.
Kenneth C. Hicks: Yes, the initial markup rate is something that we work with the vendors to make sure we've got the products priced properly. As the products -- since the products were forward bought in most cases, there are adjustments that occur from time to time. I think there will continue to be pressure on the markups. But we're working with the vendors to minimize those and keep those as tight as possible. So I don't see a big shift one way or the other, but I do see us continuing to work and we may pick up 1/10 one quarter and lose 1/10 to another quarter. But it's going to be -- it shouldn't be unless there's a major dislocation, a major adjustment one way into the other. With the kids business, there's no question that we've had a good run. One of the reasons that we remodeled the stores was to make sure that we maintain that run by expanding the assortment, both in shoes and apparel. And so I foresee -- I see, based upon what we're doing there for the near and intermediate term at least, continued growth in kids. We have a trend going on where the kids are -- more people are shopping with their kids with us. Dick and I were actually in a number of kids stores yesterday, and they were very busy, people bringing their kids to make sure that they have the best shoes possible. And the new format allows us to show more apparel and grow that part of the children's business, which, historically, had been the smallest penetrated apparel business that we had. So the kids business, I think, see, knock wood, continued strength there. And then, finally, the video games and stuff, the kid obviously spending money on those. They're big numbers. Fortunately, some of the biggest elements have already passed, and we had a reasonable result. So I guess, they aren't spending money on something, but they're buying both video games and sneakers, which is I prefer the speakers first, but it has not had an impact to date on our business. And we think that will weather because they only do this every so many years. We have sneaker releases more frequently than that.
Operator: Our next question comes from Camilo Lyon from Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: I wanted -- Dick, I think you mentioned in your prepared remarks that there was an apparel shift on the trend. If you could just give a little bit more color as to what that shift is, what parts of the apparel business it's impacting and if that at all impacts the margin potential that you have in the category.
Richard A. Johnson: The big shift is a little bit in the T-shirt business and the fleece business, going from verbiage tees to more clean, graphic sort of impressions on the T-shirts. And it's a somewhat normal cycle, and we just have to make sure that we get the inventory positioned accordingly. So -- but still, T-shirts, fleece and shorts that the core customers are buying, it's just a question of how they're embellished. And we work with our vendors to bring the best graphics and the best possible representations on those pieces. So I think we're in good shape, and I think we're getting the assortment balanced with where the kid is shopping.
Kenneth C. Hicks: The other thing, Camilo, I think, that's important to understand is our private label had historically been very much commodity oriented. And one of the things that we're doing now is making a transition from that. And again, that takes time as we build up our actual brand in women, as we build the Sneaker Freak line in Europe. And those have both been accepted very well. Our Champs Sports gear in apparel is doing well. And so we continue to make adjustments to that business. And so the transition is we've grown the branded -- or transition is growing at the -- getting our private brand back on track and making progress there.
Camilo R. Lyon - Canaccord Genuity, Research Division: Great. And then just on -- I just wanted to have a point of clarification on the current month-to-date comp. I think you said mid-single digits to the first 2 weeks. If we're talking about the current quarter-to-date comp, are you not providing that simply because the comparisons would skew downward with this week, but then skew massively upwards with the following week? Am I thinking about that comparisons correctly?
Kenneth C. Hicks: Yes, through the early part of this week, things were open. Yesterday, we were closed. And so when we look at the number, we had a hell of a day yesterday comp-wise. It's just not comparative once you get to Wednesday, Thursday of this week because we're up against Thanksgiving. And then next week, it won't be comparative because we have Thanksgiving against non-Thanksgiving. So through the -- we thought it better to just through the first 2 weeks of this calendar weeks of this month, just staying they were reasonably comparative and we were in the solid mid-single-digit range.
Camilo R. Lyon - Canaccord Genuity, Research Division: Great. And it sounds like there's a good release calendar there ahead to maintain that pace.
Kenneth C. Hicks: We have...
Lauren B. Peters: Week of Greatness.
Kenneth C. Hicks: We have a Week of Greatness that actually goes on for more than a week. We've got the preview starting today and we go on after that. It's really exciting. The shoes we got coming are just...
John A. Maurer: Great ad campaign, too, yes.
Kenneth C. Hicks: Yes, terrific ad campaign, if you haven't seen it. All is right with the world.
Operator: Our next question comes from Omar Saad from ISI Group.
Omar Saad - ISI Group Inc., Research Division: Wanted to follow up on the apparel discussion. Ken, did you talk about how you think about space allocation in the different stores, in the different formats? Apparel, obviously, has different needs than the footwear side of the business. And of course, much of the story is dedicated to footwear, of course. How do you think about being able to merchandise the apparel category effectively across brands and SKUs and silhouettes and sizes and price points, et cetera, given some of those space constraints or maybe you think about it, different brands or offerings in some of the different formats? And then I have one follow-up.
Kenneth C. Hicks: Okay. We think about the space a lot, and it does vary by banner. And it's one of the reasons with our remodels, 2 things that -- or 3 things the remodels really do for us. One, they allow us to tell really good stories about the apparel and things and coordinate the apparel and shoes. Two, they are designed to best fit each of the banner's key characteristics. We -- if you think about the Champs, much stronger in apparel with the shoes down the middle. By the way, putting shoes down the middle on those bleachers didn't hurt the shoes sales, which was our concern. And that's -- so that's good. Foot Locker showing more how you can hook up the different apparel with the different shoes. We -- Dick and I last night, we're in the new Footaction format, and that's much more built around the lifestyle of shoes and apparel. So the second is making sure that the format fits -- or the layout fits the format in the space allocation fits that. The third thing is that these are designed to be flexible so that as the business shifts, and it could be a shift in the business or it could be a seasonal shift because you have different needs when you're selling hoodies, and in the summer, when you're selling shorts and T-shirts, we're able to make those adjustments and best show the apparel and the shoes to interest the customer.
Omar Saad - ISI Group Inc., Research Division: That's helpful, Ken. And then, if I could, on Europe. I'd like to -- I'd love to hear your thoughts and kind of your long-term vision for the European market. It's obviously different in a lot of ways. It's more fragmented in different countries and languages. You've made the acquisition there. You have an existing store base. Is it outrageous to think that the European business, given the difference in how it's laid out, could look like the U.S. some day for you guys?
Kenneth C. Hicks: Well, I think, first of all, the European business, and you called it correctly, has differences because of the geography and nationalities. And so our assortment in Italy looks different than our assortment in Germany, and the Foot Locker looks different than our assortment in Great Britain. And that's one of the challenges that Lew Kimble Campbell and his team have to do, is adjust those assortments to the countries. And since we've done that, and actually Dick was the one who started it when he was over there leading our European business, we've had a much better performance. So that's one of the differences. We still have a number of countries where we're under-penetrated. And so we see a growth opportunity in developing over there recently in places like Poland and Turkey and the Czech Republic. And we've got opportunities there. The thing that I think is interesting with the acquisition and what it gives us is, one, the ability to strengthen ourselves in the strongest country in Europe. It was our #3 country, it's now moved to our #1 country. Two, a couple of banners that could possibly expand beyond the German borders and give us the opportunity to do something similar to what we're doing in the United States with multiple banners. I don't think Champs and Footaction translate that well into Europe. But I do believe that Runners Point and Sidestep can translate beyond just Germany. And in fact, they are, to some cases, but in Switzerland and Holland. But that's something that we will determine over time and see. And the third thing that it really did for us was strengthen our Dot-Com capability with the Tredex acquisition. So when you look at it, I think Europe provides an interesting opportunity for us. We said on the call, it' now up to 25% of the business, and the good news is, it's performing well.
Operator: Our next question comes from Mitch Kummetz from Robert Baird.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Let me start with Nike Fly Zone. You mentioned that. I think you're talking about one kids store. Could you just elaborate on that, exactly what is that, what's of the opportunity for that? And can that go beyond the kids business for you guys?
Richard A. Johnson: Well, it's a transformational space in the Kids Foot Locker store that's really focused on Nike and Jordan basketball product. If you think about it as a junior version of a House of Hoops, I guess, is the best way to put it, both from a square footage and a product perspective. So I mean, it's targeted at Kids Foot Locker. We've got one that's open. We've got 2 more coming. And as we've done many times, we prototype things. We test them, and we develop a rollout plan based on those tests. So we like what we see so far. But we're a week into the process at this point. So I think there is opportunities with the Fly Zone.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, Lauren, on gross margin, how should we be thinking about Q4? I mean, Q3 gross margin held up really well despite the shift in sales from Q3 to Q2. I guess, as I'm thinking about the different components of gross margin, it seems like, as far as buying and occupancy goes, maybe you guys can do a little better in Q4 than Q3. And then on the merchandise margin side, I don't know that the situation between markdowns and IMU really changes a lot. But again, I would guess in that gross margin can be a little stronger in Q4 than Q3. Is that the case or not so?
Lauren B. Peters: No, we certainly won't have the headwinds of the shift in sales. So yes, we should be able to do better on leverage.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Anything changing on the merchandise margin side for Q4 versus Q3 that you can see at this point?
Lauren B. Peters: Yes, the dynamics remain the same, as what we've described. So we've got the IMU pressure, but we'll continue to feel really good about the position of our inventory, and so that should be able to help us on the markdown side.
Operator: Our next question comes from Sam Poser from Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Just a couple of things. The -- can you talk about how you're thinking about buybacks? You stepped up a bit in the quarter. How that's looking forward? Also, how to think about the D&A on a go-forward basis? It came a little higher than what we had anticipated. And lastly, just a clarification on the remodels you did -- you've done this year. You said 207. But you said on a prior call, you would do 150 in the third quarter, which would have gotten you to 270. So can you tell me what's right and what's wrong there?
Lauren B. Peters: Let's take our remods first. Remods, relos year-to-date were at 271, right? So that's the number. And so that's consistent. You got to add the relos with the remods. But on the share repurchase, what we described at the beginning of the year about our capital allocation plans remains intact. We really are looking to properly balance between investing in the business and making meaningful returns of cash to the shareholders through both that share repurchase program that we opt at the beginning of the year and the dividend, which we've also opt at the beginning of the year. So yes, the pace, $100 million in Q2, you'll recall that we were not able to do anything in the first quarter because we were in the middle of an acquisition and $67 million. So we're on pace at $167 million. We still have plenty of room to go on the $600 million.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And the D&A?
Kenneth C. Hicks: Depreciation.
Lauren B. Peters: Depreciation and amortization? Yes, so as we described, $35 million in the quarter, an incremental $5 million year-over-year. 3 of that that coming from the CapEx and the other 2 coming from the assets that come with the acquisition. So that would be the pace.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Right. But looking forward, I mean, should we be thinking about that as pretty much the number for the time being?
Lauren B. Peters: That's the pace, yes.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then just one other thing, on the remodeled stores. The -- what is -- has the change -- has there been a big change in the percent of apparel versus pre-remodel? So are you seeing, like in the Champs remodel, it might have been running at, I don't know what the percentage was, but has that -- has the footwear apparel percent changed meaningfully there? Can you talk a little bit about that and how that sets up for future expansions and so on?
Richard A. Johnson: We're seeing the whole ship rise, Sam. So the apparel penetration, based on banner, a little bit different by banner, is up slightly in some, not down in any. And then, as Ken mentioned, the whole thing we needed to make sure that we protected in a division like Champs is that the footwear business stays where it was. So we're seeing the remodels lift the whole ship, both the apparel and footwear. Not seeing a significant distortion in the apparel penetration.
Operator: Our next question comes from Bernard Sosnick from Gilford Securities.
Bernard Sosnick - Gilford Securities Inc., Research Division: The weather is cooler this fall than a year ago, which suggests you should be getting a little bit of a hint of how fleece sales are likely to perform through the end of the year. Could you give us some insight on that and a little bit of background history regarding apparel sales in the fourth quarter, fourth quarter a year ago?
Richard A. Johnson: Well, we're optimistic about fleece. As you said, Bernie, the weather is a little bit different this year than last year. The changes happen month-by-month. But our initial reads on fleece across brands and private brands has been positive. And I think that if you reflect back a year ago, the Northeast had the big storm early and then the cold snap that brought a lot of snow, or significantly colder temperatures a week or 10 days later. So I think the -- I'm not sure what normal is in terms of weather. But I think, over the course of the fourth quarter, it normalizes itself. And our fleece sales certainly reflect that.
Bernard Sosnick - Gilford Securities Inc., Research Division: And just a clarification. With regard to share repurchases, what was the number that you were talking about for the full year?
Lauren B. Peters: We did not quote a full year number. I just reiterated where we are year-to-date, $167 million.
Operator: Our next question comes from Chris Svezia from Susquehanna Financial.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: I guess, just first, on Europe. I'm just curious, there's obviously some new product that's been put into that market, Nike and Nike Free, the basketball business is working. Can you maybe just talk about what some things you guys might be doing specifically, how much of it is just new product coming into that market and just sort of your comfort and the sustainability of Europe comping? And then lastly, I guess, Lauren, maybe for you, what level of comp is needed in Europe to really leverage that business, given the store growth you have there?
Richard A. Johnson: I think it's a combination of things, Chris. I mean, if we look at the new product that's coming in, if we look at the emphasis on basketball, if we look at how important the running silhouette is in Europe, those technologies that we talked about launching over here are all important to the success of Europe as well. When we look at the dispersion of stores by country, we don't have -- we've been able to balance a little bit of our store distribution with the acquisition in Germany, making that now our largest country, probably with the strongest economy, certainly, in Europe. So they -- Lew and the team over there has been on a nice, positive trend. And based on the product that we see flowing, based on the things that we're doing, including some House of Hoops growth over there, we've also launched our remodeled Willowbrook format in a couple of test stores in Europe. So we see the likelihood that they'll continue positive.
Kenneth C. Hicks: The other thing, I think, that's happening is we're starting to see -- Europe had predominantly been a running market. And we're starting to see some strengthening in basketball in Europe, and obviously, that's to our benefit. Lauren?
Lauren B. Peters: Yes, the dynamic fund on leverage, right, Europe stores, not different than the rest of the fleet, and that we can lever low-single-digit comps. But as you add new stores, of course, they come with some overhead with them. But we wouldn't expect those new stores to dilute overall ROS for that chain. So now you get the benefit as you add a new store in the subsequent years, years 2, years 3, that they're now comping and they get greater leverage.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Okay. So leverage could really begin to happen at kind of the low-single-digit comp for Europe, correct?
Lauren B. Peters: Yes, it's no different than what we expect for the rest of the business.
Christopher Svezia - Susquehanna Financial Group, LLLP, Research Division: Okay. And is RPG accretive in the fourth quarter to the number, for Q4?
Lauren B. Peters: Well, on the base business, RPG, yes, but we will have integration costs in the fourth quarter as well. So it's not going to be a big number in the fourth quarter.
Operator: Our next question comes from Eric Tracy from Janney Capital Markets.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: I just -- Ken, for you. One of the things that came out of the Nike Investor Day to me that struck me sort of interesting is they talked about moving to this consumer demand pricing model and highlighted basketball as a key category where they're really going to start testing some better price points. So as it relates to the IMU discussion and the potential for pricing to get pushed a bit and how you guys think about flowing that through to the consumer within the basketball category, be it Nike or Jordan products, any kind of early discussions on that and how we should be thinking about it?
Kenneth C. Hicks: Yes, we talk to them about what we think appropriate price points are for shoes. And quite frankly, we've seen it. We've seen Foamposites go from $200 and $220 to deuce in a quarter, all the way up to $260. And we haven't seen a slowdown. So we've been making the adjustments over time. Interestingly enough, at the same time, we are working on the other end, when you put in things like Roshe, making sure that we've got some opening price. We also are looking at some of the soldier shoes to make sure we've got shoes in that $110, $120 price range. So we're working with them where appropriate, where there's demand, where there's a reason taking the prices up, but also not leaving everybody behind.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: Yes, that's fair. And I guess, just as it relates to the basketball category, it seems to be -- clearly, whether you do these lottery systems in sort of the gray market post those, the elasticity on the basketball category has some room to push. And again, it just seems like they were highlighting that category as a room for opportunity.
Kenneth C. Hicks: I think because they have a much stronger position in basketball, and therefore, they have more permission from the customer as opposed to running, which is, obviously, there are more players and somewhat can be a more competitive business.
Eric B. Tracy - Janney Montgomery Scott LLC, Research Division: Yes, okay. And then, I guess, just my follow-up would be on the women's business and the strategy between the concepts. I realize you're still very much in test mode between SIX:02 and the parks format on Lady Foot Locker. But what are the metrics? What are the sort of hurdles that you're looking at in assessing what the ultimate strategy is when you decide between the 2 concepts? Could you give us a sense of sort of timing, maybe the capital investment that may need to occur if there's going to be more significant remodels, just maybe more color there?
Kenneth C. Hicks: Well, there's a couple of different things going on, Eric. One is, obviously, looking at the performance and measuring the sales, the profitability, productivity and customer reaction. Is the customer excited about it? And then get some learnings about what markets may work better than others. So it's a performance and a market thing that we're looking at. At the same time, it does take time. It took several years before Lululemon moved out of B.C. I think some of our competitors in this are still being thoughtful as how they grow. We do have the capability, though, to push ideas into our Lady Foot Locker chain. And so part of our challenge is look at the new idea, how fast and where do we grow that, and take the existing idea and how can we strengthen that to make that more productive for the company.
Operator: Our next question comes from Michael Binetti from UBS.
Michael Binetti - UBS Investment Bank, Research Division: Can we just talk about the remodels from then here. As you think about the remodeled stores that are off-line in the third quarter, I'm guessing there's going to be significantly fewer closed in the fourth quarter, so you have the fleet open for the holidays. Is that a fair assumption?
Kenneth C. Hicks: Yes. And by the way, the third quarter was also our highest remodel quarter of the year.
Michael Binetti - UBS Investment Bank, Research Division: Okay. If I -- so then, if I think about it, excluding those stores that were closed, it seems like the guidance for low and the mid-single digits implies a slowdown in the fourth quarter from the core stores, excluding that. Is there any reason for that? Or...
Kenneth C. Hicks: We do very thoughtful planning.
Michael Binetti - UBS Investment Bank, Research Division: Okay. As we think -- so then, as we think about the drag that you're seeing from having some of these stores off-line each quarter, is the dynamic of a drag from the off-line stores versus the lift from the new stores coming back in at a higher run rate becoming less of a drag each quarter that goes by at this point?
Richard A. Johnson: Yes. As we remodel and have more of the remodeled stores to offset the closures in the forward quarters, there should be less of a drag.
Kenneth C. Hicks: Which is one of the reasons why we don't call it out because over time, it starts to -- one starts to overtake the other. And rather than give us small adjustment every quarter, 1 plus or minus, because we also have different numbers in each quarter, we just say we will have -- we'll have some ups and downs, but they're not going to be huge. It'll be -- might be big for a chain, but not for the overall company.
Michael Binetti - UBS Investment Bank, Research Division: Got it. And then can I just ask about SG&A for a second and the fourth quarter, I guess, with remodeling? It seems like there's a pretty significant uptick in 3Q. Is that where you thought it would be, Lauren, in the quarter when you talked to us? Or was there any kind of shift there in the quarter?
Lauren B. Peters: The uptick in SG&A?
Michael Binetti - UBS Investment Bank, Research Division: Correct.
Lauren B. Peters: Yes, so again, I go back to, I guess, a couple of dynamics there. We have a shift of $36 million of sales, out of Q3 into Q2. So there's some pressure on the leverage. And then we had a full quarter of the Runners Point Group. So if you get back to our base business, we actually did lever that SG&A by about 40 basis points in Q3. So we were pleased with that result. And then, really, it comes from a full court effort by our team that manage the costs, right? So we're very closely making sure that our selling wage hours are productive and that we're controlling all the other controllables.
Michael Binetti - UBS Investment Bank, Research Division: Okay. And I guess, if I could just give one quick comment considering -- since you mentioned Timberland, and obviously, the weather has been pretty bad the last 2 years. With that in mind, have you guys taken a bigger position in boots or a smaller position in boots this year as we look at the fourth quarter?
Richard A. Johnson: We're optimistic about our boot opportunity in the fourth quarter.
Operator: Our next question comes from Matt McClintock from Barclays.
Matthew McClintock - Barclays Capital, Research Division: I was wondering if we could actually focus on -- back on Europe for a second. You called out Footlocker.com as being strong during the quarter. I was wondering, what are some of the drivers to that specific strength? Is that mobile? Or are there other drivers there? And then how does that compare now that you have Runners Point Group and Tredex? How does that compare to the strength or the growth in that business? Are the drivers the same? And then lastly, when you think about the platforms themselves between those 2 businesses, are they similar? Is one a little bit more -- have more technology, et cetera? Just how should we compare those 2 platforms?
Kenneth C. Hicks: Yes, with regard to why they're growing, we are making significant investments, and they're both front and back. We've updated the websites now for Footaction. We're working on the other websites and improving there. We just implemented the SIX:02 website. And so we're making -- what the customer sees is a much better experience. As part of that, we're significantly stepping up our abilities with mobile. So we're seeing a significant growth in mobile. So we're pushing on the, if you will, the channel part of it, too. And the third thing is, on the operations side, we're making significant efforts and we're doing things like buy online, reserve in-store, buy in-store, have it shipped to you. Buy online, come pay cash in-store. We've put all sorts of different things to connect the Dot-Com with the stores. We're testing things like computers and adds in stores and different things so that we can have a much more consistent experience. With regard to Europe, Europe was just very, very small. Tredex gives us a platform. There are differences in terms of payment, obviously, the languages. And those are things that we are developing and also Tredex can help us with.
Operator: Our next question comes from John Zolidis from Buckingham Research.
John Zolidis - The Buckingham Research Group Incorporated: Question on the women's business. I think, Ken, you mentioned that you are shifting to performance away from the fashion side. So I'm just curious why you would want to do that.
Kenneth C. Hicks: Because that is a faster-growing, more underserved element in the ladies-only business. We still have the capability with our banners to serve that fashion customer. And by the way, she is more comfortable shopping in Foot Locker because she can -- in Foot Locker, she can buy in the kids department because, for example, Nike doesn't make Jordan in women's anymore, they make it in kids. So she'll go over to the kids department and buy a pair of Jordans. She also doesn't have any problem going over to men's, if she has a larger foot, and buy it in the men's department. So she -- that fashion customer feels more comfortable shopping in a Foot Locker than necessarily the Lady Foot Locker. We also change the target of the customers. The customers moved up from 15 to 25, to 25 to 35, and she is more physically active, cares more about how she looks and what she wears, while she caring about how she looks. And I think that, that provides us an opportunity. It's a very large market, over $40 billion, in the places where we participate and one that we know has not been fully and effectively served.
Lauren B. Peters: And that change in age demographic is speaking to our women's-only banner.
Kenneth C. Hicks: Yes, women's only, whereas in Foot Locker, we still are able to take care of that younger customer, who feels comfortable shopping in there, whereas the more mature woman might not feel as comfortable shopping in a Foot Locker.
John Zolidis - The Buckingham Research Group Incorporated: Okay. So the performance declines at Lady Foot Locker are related to repositioning. So that suggests something else is going on with the decline in comps at the other banners, which have continued to be a source for a fashion customer as well. Can you just talk about what needs to happen to improve that side?
Richard A. Johnson: Yes, one of the things that we've done, based on the demographics and the core consumer in each of our banners, we've removed women's from Footaction completely. So when you look at the total numbers, that went from a number to 0. So we're still rationalizing through that and need to anniversary that before we see the overall women's business. We're working in each of the banners to get the right assortment, as Ken mentioned, so that we can better appeal to that fashion consumer. And I think it's -- as we've talked about, our women's business is work in progress, and we were making progress in the women's-only banner. We continue to make progress in the other banners, speaking to different consumers.
John Zolidis - The Buckingham Research Group Incorporated: Okay. When do we anniversary the Footaction change?
Richard A. Johnson: Early next year.
Operator: Our final question comes from Taposh Bari from Goldman Sachs.
Taposh Bari - Goldman Sachs Group Inc., Research Division: Ken, I wanted to ask you just what you make of this reacceleration in the core Foot Locker business here through the third quarter and into November. I mean, it seems to me there's a broader pattern across all of athletic. Your peers are putting up better numbers. But as you look back at the past 6 months, you guys had 2 or 1 point in the second quarter, now 4. It sounds like you're pretty optimistic for the end of the year. So is there something that you changed strategically? Is it greater macro forces at play here?
Kenneth C. Hicks: I think that -- I don't know about the greater macro forces. I think one of the things that's happened is we've stepped up the product. In the summer, things lulled a little. But we're seeing more product for more vendors come out. We've got BOOST, SpringBlade from Adi. We've got some great new releases from Nike. You've got things like Roshe from Nike. You've got the Flyknits from Nike. Apparel has stepped up. We've made some of the adjustments in apparel that we've talked about as we look at the growth of fleece, changing what the -- graphics on the T-shirts. So I think you've got some product changes. We have -- we're doing a better job with the stores. We've got the remodels that are starting to feel some benefit from. Our efforts in Dot-Com continue to help us. So I think there are some industry things that are happening and some of the things that we're doing, and they're just continuing to pick up speed.
Taposh Bari - Goldman Sachs Group Inc., Research Division: Okay, good to hear. Just a quick follow-up. If you could just elaborate on the key product trends that you're seeing within footwear. If I heard correctly, it sounds like basketball kind of humming along status quo at a pretty strong clip. The running business, it sounds like there's a little bit of a subtle change there. I think, Dick, you mentioned the New Balance 574 style becoming more popular and the ASICS' and Mizuno's technical brands slowing. I know that this business has a history of ebbing and flowing between technical and casual, but just curious to see if this is a start of a bigger trend or what you make of it in its early days.
Richard A. Johnson: Yes, I think that the lifestyle of running is certainly an important piece of the running category. And I think you're right, that it does ebb and flow. And right now, things like the Roshe Run, things like the 574, the consumer is after those and very excited about them. At the same time, we look at things like the top-end shoes from Mizuno and Brooks and ASICS, and we see some strength there, sort of that middle tier that gets stretched one direction or the other, and that's where we're seeing that shifts in running.
Kenneth C. Hicks: The other thing I think that's happening is you're seeing just the look is changing, as there's more emphasis on -- you're seeing strengthening of some of the basic colors with pops versus some of the allover color. And as that changes and the vendors react to it, to the customer trend, we'll -- you'll see things get back in line. But overall, we're pleased with the running. And the good thing about running is that there are a number of people who are performing well. Okay. Thank you, and thanks, everybody, for the call. I hope everybody who is still on has a good Thanksgiving and appreciate your support and interest.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.